Operator: Good day and welcome to the Vail Resorts Fourth Quarter and Fiscal 2016 Earnings Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to your host, Rob Katz, Chief Executive Officer. Please go ahead, sir.
Rob Katz: Thank you. Good morning, everyone. Welcome to our fiscal 2016 year-end earnings conference call. Joining me on today’s call is Michael Barkin, our Chief Financial Officer. Before we begin, let me remind you that some information provided during this call may include forward-looking statements that are based on certain assumptions and are subject to a number of risks and uncertainties as described in our SEC filings and actual future results may vary materially. Forward-looking statements in our press release issued this morning along with our remarks on this call are made as of today September 26, 2016 and we undertake no duty to update them as actual events unfold. Today's remarks also include certain non-GAAP financial measures reconciliations of these measures are provided in the tables included with our press release, which along with our annual report on Form 10-K were filed this morning with the SEC and are also available on the Investor Relations section of our website at www.vailresorts.com. So with that said, let's turn to our fiscal 2016 results. We achieved another year of record breaking results with significant growth across our business. We are very pleased to complete the year with a resort reported EBITDA of 452.6 million, which included 1.4 million of transaction expenses, related to the pending Whistler Blackcomb acquisitions. This represents 29.5% growth in resort reported EBITDA in fiscal 2016, excluding the $16.4 million non-cash gain on the Park City litigation settlement in the prior fiscal year. Our results were driven by the strength of our network and excellent performance across all of our resort locations. Our season pass program continue to drive both growth and stability with season pass revenue increasing 21.5% compared to the prior year, which includes a full season of Perisher season pass revenue in fiscal 2016 versus a partial year in fiscal 2015. We experienced another outstanding year in Colorado, with visitation and guest spending out performing last year’s results. In Park City, we met our very high expectations following our capital transformation last summer that combined Park City and Canyons in to the largest mountain resort in the United States. In Tahoe, our results rebounded strongly, as favorable weather conditions help to reactivate visitation in the region. We officially launched Epic Discovery at Vail and Heavenly this summer, driving significant increases in visitation and revenue in the fourth quarter of fiscal 2016 compared to the prior year. Our summer business will continue to grow as we further build out activities at Vail and Heavenly and officially launch Epic Discovery at Breckenridge next summer. Finally, we continue to execute our strategy with a focus on disciplined cost management which played a critical part in achieving resort EBITDA margin for the year of 28.7%, a 300 basis point expansion compared to fiscal 2015, excluding the non-cash gain on the Park City litigation settlement in fiscal 2015. In early August we announced the pending acquisition of Whistler Blackcomb, the largest and most visited mountain resort in North America. We are pleased to report that the Canadian Competition Bureau has issued a no action letter for the transaction and we continue to expect that the deal will close this fall pending Whistler Blackcomb shareholder and remaining Canadian regulatory approvals. We plan to share more details about the transaction, our integration plans and expectations for fiscal 2017 during our December earnings call. Turning now to our 2016-2017 season pass sales for our US resorts; we are extremely pleased with our season pass sales to date. Through September 18, 2016, US ski season pass sales increased approximately 24% in units and 29% in sales dollars, compared to the prior year period ended September 20, 2015. Our growth continues to be driven by our increasingly sophisticated and targeted marketing efforts to move destination guests in to our season pass products, with this segment representing over half of this year’s growth. As always, we do expect our season pass growth rates to decline through the end of our selling season, given that some of the increase is driven by our efforts to encourage guests to purchase their passes earlier in the year. Last year, at this point in the year, we had sold approximately 60% of our season passes for the upcoming ski season. Though we believe that figure may be higher this year given we are moving guests to purchase earlier in the selling cycle. Finally, I’m very pleased to announce that our Board of Directors has declared a quarterly cash dividend on Vail Resorts common stock. The quarterly dividend will be $0.81 per share of common stock and will be payable on October 25, 2016 to shareholders of record on October 7, 2016. Now I would like to turn the call Over to Michael to further discuss our financial results and our fiscal 2017 outlook. 
Michael Barkin: Thanks Rob and good morning everyone. As Rob mentioned, we are pleased with the results from fiscal 2016. With a strong high-end US consumer, we are continuing to leverage our growing network of resorts and sophisticated marketing strategies to driver higher visitation and yields across our business. For fiscal 2016, resort net revenue was $1.6 billion, an increase of 16.2% compared to the prior fiscal year and resort reported EBITDA to $452.6 million. Total mountain net revenue increased 18.2% to $1.3 billion. Total skier visits, including the full year of Perisher results surpassed 10 million annual visits for the first time and increased 18.5% in fiscal year 2016. Total US skier visits increased 13.2%. Total effective ticket price increased 3.5%, driven by season pass and lift ticket price increases across our resorts, partially offset by higher visitation per pass. ETP excluding season pass holders at our resorts increased 9.8%. Our ancillary businesses also experienced growth with ski school, dining and retail revenue up 13.5%, 19.8% and 10% respectively compared to the prior year. Fiscal 2016 was another strong year for our lodging segment, with net revenue increasing 7.9% and lodging reported EBITDA increasing 30% compared to fiscal 2015, which includes $3.5 million of lodging reported EBITDA associated with the termination of the company’s management agreement with Half Moon Resort in Jamaica in fiscal 2016. These improvements were primarily driven by a 210 basis point improvement in occupancy and a 3.5% growth in average daily rate, resulting in an 8.8% improvement in revenue per available room compared to the prior year. Our lodging segment benefitted from increased visitation at our mountain resorts during the ski season, as well as continued growth in summer visitation, particularly at our Teton properties. Moving on to real estate, we generated $22 million of net real estate cash flow in fiscal 2016. For the full fiscal year, we closed on five units at Ritz-Carlton Residences, Vail, three Crystal Peak Lodge units at Breckenridge and two One Ski Hill Place units in Breckenridge. During the fourth quarter, we closed on two units at Ritz-Carlton Residences, Vail and one unit at Crystal Peak Lodge. Subsequent to the end of fiscal 2016, we closed on the sale of a land parcel at the base of Peak 8 in Breckenridge for $9.25 million to the same developer that purchased the Peak 8 parcel in 2012 to build timeshare product. As of September 23, 2016, we have four units of Ritz-Carlton Residences, Vail and two units at One Ski Hill Place remaining to be sold, and we have approximately $94.7 million of real estate held for sale and investment associated with land parcels at our resorts. Net income attributable to Vail resorts was $149.8 million or $4.01 per diluted share for fiscal 2016, compared to net income attributable to Vail Resorts of $114.8 million or $3.07 per diluted share in the prior fiscal year. During fiscal 2016, the company repurchased 485,866 shares for a total of $53.8 million, and we currently have an authorization to purchase up to approximately 2.1 million additional shares. Finally, our balance sheet continues to be very strong. We ended the fiscal year with $67.9 million of cash on hand and $75 million of borrowings under revolver portion of our senior credit facility. As of July 31, 2016, we had available borrowing capacity under the revolver component of our credit facility of $252.8 million and our net debt was 1.4 times trailing 12 months total reported EBITDA, which includes $323.1 million of long term capital lease allocations associated with the Canyons transaction. Now turning to our outlook for fiscal 2017. We are pleased to enter fiscal 2017 with an expectation for strong growth across our business. Our guidance figures exclude any impact from the pending acquisition of Whistler Blackcomb including associated transaction related and integration cost. For fiscal 2017, we expect resort reported EBITDA will be between $480 million and $510 million or 6.1% to 12.7% growth over fiscal 2016. The midpoint of our fiscal 2017 resort reported EBITDA guidance represents growth of approximately $146 million or 19% compound annual growth from our fiscal 2015 results, excluding the non-cash gain on Park City litigation in fiscal 2015. We expect our growth will be driven by the continued success of our core strategy of increasing guest loyalty by moving skiers and riders in to our season pass products, creating a more personalized and relevant conversation with each of our guests and using sophisticated approaches to drive yield increases. We also expect to be able to drive continued growth in our ancillary businesses, based on continued increases in guest spending. Our guidance anticipates normal weather conditions across our resorts and a continuation of the current economic environment. It also assumes a continuation of existing currency exchange rates which we expect will continue to impact bookings from international markets. Fiscal 2017 will include results from Wilmot Mountain, which we expect will generate incremental EBITDA of at least $4 million. Fiscal 2017 will also benefit from the launch of epic discovery of Breckenridge and the second year of our full summer program at Vail and Heavenly. We will continue to focus on disciplined cost management and leveraging the fixed cost nature of our resorts and the operating efficiencies we have created through our centralized infrastructure. We expect fiscal 2017 resort EBITDA margin to be 29.7% at the mid-point of our guidance range, a 100 basis points increase from fiscal 2016 and a 400 basis point increase from fiscal 2015, excluding the non-cash gain on Park City litigation settlement in fiscal 2015. We expect to achieve these margin improvements after making continued investments in increased wages and expanding our employee housing offerings. One of our top priorities will remain improving the employee experience at our resorts. Moving on to our real estate segment, it’s important to remember that results are impacted in any given year by the timing and mix of real estate sold and closed. For fiscal 2017, we are expecting positive real estate reported EBITDA of between $2 million and $8 million. Net real estate cash flow is expected to be between $10 million and $20 million. Fiscal 2017 net income attributable to Vail Resorts Inc. is expected to be between $165.5 million and $194.5 million. Our estimates are predicated on an exchange rate of $0.77 between the Australian dollar and US dollar related to the operations Perisher in Australia. I’ll now turn the call back to Rob.
Rob Katz: Thanks Michael. We are proud of our fiscal 2016 results and excited about the opportunities ahead in fiscal 2017, with our growing network of world class mountain resorts. We are looking forward to completing the Whistler Blackcomb transaction and beginning the integration to create the opportunity for guests in the US, Canada and around the world to experience this incredible resort as part of the Vail Resorts network. Over the summer, we have been hard at work making further improvements to our resorts and the guest experience. For the upcoming ski season, we are particularly excited to welcome Chicago area skiers to the transformed Wilmot Mountain, where we have made dramatic improvements to the base facilities, lifts and snow making infrastructure. In addition, guests at Breckenridge will enjoy our new 500 seat restaurant at the top of Peak 7 and guest at Vail will have an enhanced experience in the famous back bowls with the new sun uplift or chair 17 which we upgraded from a fixed script triple to a high speed four passenger chair. Consistent with our overall strategy, we believe that reinvesting in our resorts is one of the key differentiators to our success. I would like to close by thanking everyone who works at Vail Resorts and everybody who is part of our resort communities for making fiscal 2016 a great year and delivering on our promise of providing an experience of a life time to all of our guests. At this time, Michael and I will be happy to answer your questions. Operator we are now ready for questions. 
Operator: [Operator Instructions] We’ll take our first quarter from Shaun Kelly from Bank of America. 
Shaun Kelly: Obviously the season past metrics continues to be exceptional. So in the last few seasons Rob we haven’t too much of a deceleration. Obviously your language always remains pretty cautious here, but could you just give us a sense, are you expecting things to slow pretty maturely or do you think that again given everything you’re doing on a database marketing side that actually a pretty healthy growth rate is going to be maintained here. Just any sense of magnitude without getting in to the specifics will be helpful.
Rob Katz: I’d say that one of our strategies around season pass is to get people to buy earlier. So when you think about the growth rate, obviously when we are both driving growth, moving people earlier in the season, you look at that growth and you take it over a smaller base. Even if we continue a healthy continued absolute unit growth going forward, it’s over a larger base and you don’t have the benefit of moving people earlier in to the cycle. So in our minds, when we look at those trends we do feel like we’re going to see those growth rates decline, but that’s actually a success. Now, is it possible we have seen this in other years where we’ve had real strength towards the end of the selling that helps kind of offset us? Yes that’s possible. But I think at this point especially just given the level of growth rate in the 20s that we are seeing earlier in the season, we think we’re being fairly realistic about those growth rates coming down. Again, in our minds that just mean that we are doing a good job of moving people earlier in the cycle and locking them in. 
Shaun Kelly: You guys have nearly talked about renewal rates specifically for this group. But as you get better, I think you’re doing on the database side, any sense of, is there kind of a standard renewal rate that you tend to see and is that pretty sure beginning to change or likely improve?
Rob Katz: So we are seeing improved renewal rates across the board. I think we’ve always talked about how with our season passes there is a chunk of folks who don’t renew because of life stage changes, moving we have college kids who come and then leave, we have folks that who have kids or starts with their family, all of that. And then we have folks who are what we call the samplers, folks who are coming to our resorts but these are not locals but destination skiers who like to try different things. And so for us our goal is really to move people from buying daily (inaudible) to buying season passes because we know that the renewal rate or the return rate on a season pass is much higher than if they are just buying a (inaudible). And then our goal once they are in the season pass program is to get them to renew that first year and second year, and one of our top priorities for this year has been to increase that first year renewal rate because obviously we are adding so many people to the program and we’ve been very successful with that. The key obviously is, once you see a second year or a third year, all of a sudden the renewal rate goes way up. So one of the things that is driving our growth is increasing that renewal rate and a big part of that is us being smarter and more sophisticate in terms of how we talk to people, the message we send and how we get them to come back in to the program. 
Shaun Kelly: Last question is on real estate, there’s a little bit of a delta to just sort of how the model was coming through. Just for you and Michael, does that number include the 9 million from Breckenridge, is that the big driver for what we know so far or is there something else that’s moving that number. 
Rob Katz: Yeah that is a big driver for the year. 
Shaun Kelly: Sounds like they let them flow through in fiscal Q1. 
Rob Katz: Yes.
Operator: Our next question will come from Felicia Hendrix with Barclays.
Felicia Hendrix: Sort of speaking on the topic of the season pass sales, I was wondering if we could get a little granular and talk about what markets perhaps drove some of the strength. You said destination was strong, but I was wondering if you could get more specific. And just wondering if you saw any more kind of attention or buzz around this season pass program after it was announced that you acquired Whistler?
Rob Katz: If you looked across the board, our destination markets were the strongest in terms of overall growth rate that’s been consistent with our trend over the last number of years. Within that Chicago was the strongest performing major market, again no surprise there because of the acquisition that we did. We’ve seen very strong growth in Tahoe again, and not a big surprise there given the better weather that we saw last year.  I think we also some real strength in the Colorado market, obviously that market is going grow slower than the other two, it’s a much bigger, more mature market, but we were very pleased with the results that we saw there. We actually saw continued growth albeit in smaller number and our international markets. So again I would say really pretty good momentum across the board. In terms of after the Whistler announcement, we did not see any dramatic shift after that announcement, obviously there’s so many trends going on with our deadlines that it’s clear that we would necessarily be able to detect it. But in our minds we’re seeing some - the growth that we were seeing before we made the Whistler announcement has continued and didn’t seem to be changed one way or the other by the Whistler piece. Obviously we also were pretty clear in our announcement that the Whistler transaction just given the timing of closing wasn’t going to be a factor in access that we were going to be providing to people for this upcoming season. So obviously at the moment, our focus is really around adding Whistler for the ’17-’18 season pass. 
Felicia Hendrix: And then Michael in your guidance you talked there’s a [600] basis point growth in EBITDA margins and you talked a bit about that. I was just wondering what could be realistic drivers upside of that number?
Michael Barkin: Yeah, what you saw this year is how you see upside to our margin, which is at - we try to budget a cross structure that with our guidance will deliver real operating leverage and clearly in a year like this year where we came in well above our targeted range, the flow through that we see on that is quite significant and so I think you saw that this year in terms of our ability to driver incremental operating leverage in a year where we have really strong results. 
Felicia Hendrix: And then just finally, just wondering if we could just get an update on your cash distribution policy? Does the 10% increase your (inaudible) after the Whistler deal, does that make you more likely to buy back shares in the future, do you prefer dividend increases maybe if you could just give us an update on that?
Rob Katz: I think we feel like the transaction should obviously overall improve our free cash flow position and improve the stability, financial resources that we have, and so we absolutely intend to continue looking for ways that we return capital to shareholders, and I think it will be about both buybacks and dividends, and on the buyback front, our goal was to be more consistent than we were in the past although still opportunistic meaning factoring in our stock price to some extent. I think we have every intention and our Board does of continuing that policy as we go forward of course always as external conditions warrant. 
Operator: We’ll move on to Ben Chaiken with Credit Suisse. 
Ben Chaiken: In terms of your season pass comments are you seeing a larger change than usual with regards to your repeat customers buying earlier or is it more just comparing to a larger base year-over-year as you mentioned. 
Rob Katz: No, I would say both. We are definitely seeing folks - I’d say two things, one, we are definitely seeing folks who purchased last fall, buying in the spring this year and we’ve seen that trend in previous years and we’re seeing it this year. I think that’s probably even more so in Tahoe than in our other regions just given the enthusiasm that that market has right now given last year. And we’re also getting better and better at actually bringing new pass holders in to our spring and kind of labor day sales efforts, where if you went back three or four years, five years, most of new passes always came in the mid to late fall because they typically were procrastinating or weren’t sure that they were going to buy because they were new and had been in the program. And I think the team has done a great job of moving our folks who are considering a trip earlier in that sales cycle, and so again, what you’re seeing in our growth rate has a big component of that in it. And again that bodes very well of course for the overall results for the year, because we’ve had a chance to lock in a lot of these newer folks earlier. 
Ben Chaiken: Have you found with Epic Summer that offers you a chance to reach incremental customers for Epic Pass or are those kind of unrelated. 
Rob Katz: I would say on Epic Discovery, I think that the good news is we are introducing many people who have not necessarily been comfortable enjoying the mountains in the winter, they may not be good skiers, they may not be used to the mountain climate, they may not have grown up with family or friends who chose ski trips and so Epic Discovery really gives us a chance to introduce these folks and hopefully start to convert them to taking winter trips as well to the mountains. I would not say that the folks who were new to our resorts in the summer or the new to mountain resorts in general in the summer are not our best target for season pass sales, because obviously season pass buyers are typically folks who have a pretty consistent history of skiing. And so these are folks where we are just introducing them to the sport, which we think is a huge great long term opportunity for us. But not as much overlap, I would say on a summer and winter season pass type purchaser. Obviously we got a season pass prior in the winter certainly comes in the summer as well, but the other way around I think we’re a little too early for that. 
Ben Chaiken: And then how should we think about the incremental EBITDA generated by Vail and Heavenly for Epic Discovery. Is it similar to what you guys have outlined in the past and what does that ramp look like? 
Rob Katz: I think it’s on a trajectory that continues to give us confidence in the overall program and in the fact that this is going to deliver strong ROI. We’ll talk more about when we introduce the capital plan for CY 17. We’ll talk more our expectations for what that will do for the summer of 2017. But we feel like this is a great way for us to continue to drive growth at the resort in for a whole different season. 
Ben Chaiken: Last one, which quarter is stronger for summer, 1Q or 4Q?
Rob Katz: Both July and August tend to be the stronger months and so it actually winds up being split.
Operator: We’ll move on to Scott Hamann from KeyBanc Capital Markets. 
Scott Hamann: Just a clarification on your season pass commentary, you said the word decline for the balance of the selling season a few times, do you mean moderate growth rate it’s not at - not the clients correct. 
Rob Katz: Yeah, that’s right. I’m saying the growth rate will decline.
Scott Hamann: And then just on the international trends, can you give us a sense of where you ended up last year in terms of that and then what you’re seeing, whether its season pass, I know you mentioned a little bit international but bookings any visibility you have there and what’s contemplated in your guidance for fiscal ’17?
Rob Katz: So I would say last year obviously was a challenging year. On the international front, we had some real headwinds particularly from the UK, from Canada and from Australia. I think the UK and Canada were down pretty significantly where Australia actually was up double digit for us because of Perisher and the season pass offering that we created there. Mexico I think was a market that we had been seeing pretty good growth from last year, about flat, up or down a little bit depending on how we looked at it. Brazil was down dramatically I think partially currency, but a lot to do with their own economic challenges. I think as we go in to this year, we are seeing a better stability, one the currency having (inaudible) to the US dollar remained strong, but if you think about a year ago it was really in the middle of especially we think about a year ago last summer or spring, the US dollar was strengthening dramatically causing some instability there. I think now with the currency having stabilized we feel like that positions us pretty well going in to this year in terms of really for those countries where we did see some decline to really kind of moderate those declines if not eliminate them in some cases. We are also quite hopeful to be able to continue to drive growth from Australia. That said, with the strong US dollar, I don’t think we can necessarily get back to where we were 2.5, 3 years ago without seeing some shift in currency. Obviously if we were fortunate enough to close the Whistler acquisition, that will change this dynamic quite a bit, because Whistler has benefited from the strong US dollar, and so one of their attractive components of that opportunity for us is ability to have a natural currency hedge where if the US dollar strengthens, a lot of these countries can increase their visitation with her. But if the rates go the other way, immediately we’ll pick that up in the US, but obviously we think we’ll probably lose some at Whistler. So we feel like this dynamic post the Whistler acquisition will be in a better position with it. 
Scott Hamann: And then just finally, if you do close the acquisition, will there be any ability for Epic Pass holders to be able to ski Whistler at some point this season?
Rob Katz: At the moment we’re really not trying to get ahead of ourselves. We want to make sure that the process with Whistler and all the regulatory approvals that we need happen first and so we’re really not focused on what happens after that. We want to make sure to give all the various entities within the Canadian government the opportunity to review the transaction and make sure we’re having a good dialog with them and then we’ll pick up after that what our plans are depending on when the closing date is. 
Operator: Moving on to Matthew Brooks with Macquarie. 
Matthew Brooks: I got a couple of questions, first on the guidance, are you willing to say anything at all about what you’re assuming visits this season excluding the contribution from Wilmot?
Rob Katz: No, we are not putting out anything specific on that. I would just add that a lot of our visit guidance is driven by season pass and frequency and so that doesn’t always tend to be correlated with what’s happening with our revenues. So we tend to focus more on revenue and EBITDA.
Matthew Brooks: On the guidance as well, assuming you finish and close Whistler in the fall, do you think you will upgraded guidance after the close or it will be at the next result?
Rob Katz: I think we’re thinking in the December earnings call, just so we need to make sure we’re sit with them understand obviously depending on when the closing happens, could be at near or after the beginning of the season. Obviously they’ve got expenses running through. So we have to make sure we dial that in and we feel like just - given the timing of the closing and when our December call is, that will give us an opportunity to be a little thoughtful as to whatever we put out for expectations for fiscal ’17.
Matthew Brooks: Make sense. And the destination I think the previous question about this was pretty strong cause. Do you think that weak weather in the northeast contributed to the growth in the destination visits or your growth? 
Rob Katz: Yeah, I think we do. I think we feel like the weak in the Northeast and the good weather out west absolutely was the factor in boosting our results from last year. I think that the western part of the United States or western part of North America benefitted from those trends. That said, I think we feel the most trends are our ability to drive guest loyalty and repeat visitations, getting more and more destination guests within our season pass program and obviously bringing more visitors last year may be because of weather, is one piece, but obviously with our growth in our season pass program, we really have the opportunity to retain a lot of them. So we think that bodes well for our long term growth to be able to create those extra visits. 
Matthew Brooks: And lastly being (inaudible) got to ask something about Australia. Can you give us any more color about Perisher and may be how it performed against the expectations when you bought in local currency?
Rob Katz: I think very pleased with how Perisher is doing. I think the first two winters there went - Australian winter of 2015 and Australian winter of 2016. You don’t have their challenges, neither one was outstanding start to finish. This past winter in 2016 was clearly - had some tough dynamics, more challenging snow earlier in the season, then they had to rain and other things and we’ve been very impressed with how well the resort has performed. It has absolutely - it exceeded our expectations last year, exceeded those expectations again this year. They’ve got a great guest relationship and connection, and because the resort is a destination in terms of people booking their trips well in advance, really taking family and friends holidays down there, we think that has created, and the season pass growth right up almost 70% after we bought it. You look at that and I think that’s created real stability and strength for the resort, and we’ve been very impressed so far in the first two seasons. 
Operator: We move on to Chris Agnew with MKM Partners. 
Chris Agnew: What’s the thought process behind monetizing and the land parcels for sale? Is it just a question of valuation or are there other considerations, and any update for the base of Park City?
Rob Katz: I think our approach on land sale actually starts with what do we think would really improve the resort and the community. And that was always true even when we were building these projects by ourselves, but I think that’s certainly even more true for us now. Obviously the projects though have to make economic sense; otherwise we would not be able to attract developers and investors to them. But we are very focused on what do we think the resort and the community needs and that really shapes how we move forward. We’ve got a dialog going on in a number of our resorts right now and are hopeful that over the next number of years we’ll be able to announce a number of sales or partnerships where we can bring in people to help bring more residential, commercial and community infrastructure as part of these projects. And within the base of Park City, we’re having a very good dialog both with potential developers and with the local community, and are hopeful we can find our project that makes sense and really helps everyone and we’re happy to take whatever time is required to get there. It’s a very critical project for the resort and the city and so we really need to have something everyone can feel good about before we move forward. 
Matthew Brooks: And then after a year in which labor cost increased 12% excluding Perisher and you talked about wage adjustments driving that, is that really a 16% and therefore would some of that lead through in to ’17, just trying to think about expectations in ’17.
Rob Katz: Yeah, I would say some of the labor cost that you are looking at is volume related labor cost. So obviously once we - when we do more business at resorts particularly in Tahoe obviously there’s a number - we add a lot of hours. So we do have a component of our cost in general and certainly labor cost that represents that. I think if you were just looking at compensation rates, wage rates, benefits, I think what you would see is that that is absolutely growing more than inflation across the board and we anticipate that’s going to be the same in fiscal 2017 and now we’re going to need to continue to make investments in the overall employee compensation, affordable housing and things like that for the foreseeable future, unless there’s some significant change in the overall market place.
Operator: We’ll take our next question from Cameron McKnight with Wells Fargo.
Cameron McKnight: A question for Rob, you cited the strong, high-end US consumer in the release and between the lines your comments now and perhaps a little more positive on the high end than perhaps 9 to 12 months ago. Can you offer us some thoughts on the high-end consumer and what you guys are seeing generally?
Rob Katz: I’m not sure I feel - maybe that was just the tone of my voice. I think we - what I’d say is that we have not seen a slowdown in the high end consumer. I don’t know that our confidence is any higher today than it was a year ago in the high end guest and their discretionary spending. Obviously there have been some wild wolves or whatever in high end consumer spending seen in some parts of travel, some parts of retail in particular. But what we are seeing is, it feels like vacation spending in particular has so far been strong and certainly over the summer we didn’t see any signs of some kind of slow down. I think people are still booking trips and may be this trend towards buying experiences, spending money on experiences versus buying luxury goods. Obviously that would help us. So I think we’re just trying to make that we’re not seeing that yet, doesn’t mean it won’t show up, obviously it could but at this point we’re seeing good momentum consistent with what we saw a year ago. 
Cameron McKnight: And then a question for Mike, the fiscal ’17 guidance implies cut through of about 33%-34% of revenue growth to EBITDA. Are the main variable there, revenue growth and weather in terms of that cut through potentially moving higher?
Michael Barkin: Yeah, I think we’re forecasting guidance with the standard operating model that we use which is a normal year. As Rob said continued strength in the consumer and similar to Felicia’s question I think, ultimately the upside opportunity is a bit of how you saw is achieve upside this year which was outstanding conditions across all of our destination regions and then very strong spending and certainly we anticipate that in our guidance, but if there’s better than normal or average then there’s opportunity there. 
Operator: We’ll move on to Felicia Hendrix with Barclays. 
Felicia Hendrix: I just had a question on the Epic Discovery. I was wondering if there was any way you could understand how much revenues were generated in the quarter from Epic Discovery and also where are they falling in the income statement, we just saw a much larger increase year-over-year increase in other revenues than we had anticipated. 
Michael Barkin: It is falling in other. We are not breaking out specifics at this point on Epic Discovery revenue in any particular quarter. But as Rob indicated we’ll try and provide some more specific guidance about outlook in December. 
Rob Katz: The other piece I’d just say is that, the challenge for us a little bit is about the Epic Discovery in the summer as we talked about goes in both July and in August and at this point we’re announcing results from July. So we feel like it’s better for us to wait and talk about the whole season there. 
Operator: We have no further question at this time. Mr. Katz I’ll turn the conference back over to you for any additional or closing remarks. 
Rob Katz: Thank you Operator. This concludes our fiscal 2016 earnings call. Thanks to everyone who joined us today. Please feel free to contact either myself or Michael directly should you have any further questions. Thank you for your time this morning and good bye. 